Naureen Quayum: Good evening, everyone. Welcome to Grameenphone's earnings disclosure for the third quarter of 2021. My name is Naureen. I'm the Head of Investor
 Relations for Grameenphone, and thank you for joining us today. Our presentation, financial statements and additional documents are available on Investor Relations website. You can also start posting your questions in the comment box. We will -- we will address them at the end of our presentation. In case you're unable to post your questions, please feel to reach out to me by e-mail or text. 
 We will now start our presentation with our CEO, Mr. Yasir Azman. 
Yasir Azman: Thank you, Naureen, and good evening, everyone. My name is Yasir Azman, CEO of Grameenphone. Thank you for joining us for the third quarter results announcement. I would like to begin with some industry facts.  
 As reported by our regulator until August 2021, the telecommunication industry has gained almost 8.5 million subscribers, registering a 5% growth from end of 2020, ending with 178.61 million. GP's customer base end of August 2021 was 82.18 million, which is 46.5% of the total mobile subscribers in the country. In the same period, mobile data users  have increased by over 13 million, reaching to 115.41 million, which is 12.7% increase from the end of 2020. 
 If I may talk about the highlights of the quarter. We continued our top line growth in the third quarter with a 1.8% growth in total revenue from last quarter -- last year quarter 3. With the addition of 2.4 million data customers this quarter, we see an increase of 9.7% data users from last year. We also retained a growth traction in 4G users, registering a 55% increase year-over-year. 
 We started the third quarter with a stricter lockdown, I would say the strictest one, what we have seen during the whole pandemic starting from March 2020. However, as the quarter commenced, the restrictions were eased significantly. 
 Going to the next slide. We have seen the ease of restriction and declining rates of COVID-19 infection rates and deaths number. If I briefly update on COVID-19 situation into the country, till date, more than 1.5 million cases of COVID-19 have been reported with over 27,000 deaths while over 16 million people have received both doses of vaccine in the country. The past 33 days of the quarter -- in this quarter 3 was actually very strict in terms of lockdown, where restrictions on movement were far more severe than 2020. This was triggered by the sudden spike, as I mentioned in COVID cases and deaths with the spread of delta variant as can be seen in the graph in this slide. The infection rate started to decline from August and the restrictions were lifted. We exited the quarter in a near to normal situation. At this point of time, it's near to normal in terms of business and economic activity. 
 In early September, government also declared the educational sector to partly reopen, maintaining all health and safety process. This is a good development in the second half of the quarter. 
 As of last week, children above age of 12 have been made eligible to receive their vaccines. Additionally, Bangladesh government has recently opened a vaccination for any citizen above the age of 18 on the Surokkha app. So vaccination is continuing. We have seen significant number of less infection rate and the deaths number. As I mentioned, the businesses are in the near to normal now in the country, and the traffic is back in the city. 
 Going to the next slide. Improving growth momentum with the withdrawal of lockdown, what we have seen. after the withdrawal. We started to see improving as we see the economic activities coming back. That has fueled the growth momentum. And as an emergency service provider, our on-ground operations related to network rollout and spectrum deployment was also uninterrupted. Because of these rollout and network activities and also ease in restrictions, we have been able to continue our overall network rollout to enhance our customer experience, which is fueling the data usage growth, which was a critical element into the overall business mix. And we were basically mostly focusing on spectrum deployment of 4G whole country that we rolled out in Q1 and early Q2 to capitalize on that and give better customer experience to the customer during this period. 
 We forecast an acquisition and gross add by launching attractive offers for new users in our product portfolio, which has led to 7.7% growth in our subscriber base from last year. Customers' uptake on bundles pack continue to grow. This is also -- we have seen a recent uptake among the customers that they are more towards bundles than probably in isolation, buying voice and data bank. This gives us opportunity to fuel ARPU growth. 
 We continued our partnership with mobile financial services partners offering a regular cash back, combo packs, increased validity and leading to a growth of 24.9% in digital recharge from last year. This is an area where we see that we have progressed during this period. 
 In addition, we continue to offer combo packs and cashback on MyGP, which is our flagship digital app, digital channel. We have included an exclusive in-app product offers, and that has led us to get 11 million users at the end of Q3 in our MyGP app. Other than while driving growth and fixing network experience, we have basically significantly focused on our modernization journey. We focus on building a future-fit company through digitalization of our processes and modernization. 
 Grameenphone has been undergoing a transformation journey. It's for several years, and that is to become a future-fit company that can cater to the rapidly evolving needs of our customers. However, it's also not only what you've seen over the last few years. The COVID has also demanded on a new way of work and changed the customer's behavior significantly in terms of their usage pattern of different services and the way the data uptake has happened. 
 Over the years, we have examined all processes facing our customers on a granular level, driving simplification and ease of interaction with our customers in mind. 
 We have also, during this period 
 [Audio Gap] 
 technology as a leader in the country. We position ourselves how can we digitalize and modernize the way we use technology that insights to ensure that we understand the customer with a better, on time and fast track that go to the market. As a result of all this digitalization in terms of customer journeys and bringing in the new capabilities in the technology side, we have been able to digitize almost 100% of our customers, to be specific, 96% of our customer-facing interaction and the services and bring them into our one app, which is also a service at MyGP. And in addition to products and services, we have also introduced several interactive and attractive features into this app, some of which are infinite scrolling and live streaming of sports, which has led to our 2 million daily customer engagement into this app. 
 However, a large portion of our customer base is still not a part of digital world, and they're using the basic phone. And focusing on them, we have extended our flagship retail physical stores. We have bought entirely new flagship stores focusing in the rural areas to serve our customers better. Now we have 194 coming from centers, and these stores cater to the needs of our customer, mostly in the deep rural areas. 
 While doing so, we are also working towards acquiring advanced network capabilities, which will help us to deliver on demand of advanced mobile service as a high-quality network experience. 
 As I mentioned, we are on a journey towards building a future-fit network that will meet customer digital experience, requirements by boosting the quality of solves with a jointly build capabilities of bringing in future technologies. And as such in 5G, top speed operation and fault management -- customer complaint management. We have recently entered a partnership with global technology service provider Wipro, which is also an opportunity for local talent to upscale and pursue global opportunities. We are also driving modernization within our organization with the transformation and operating models, implementation of robotics and automation as well as continuously upskilling our talent with future-fit capabilities. 
 We believe the right mix of competency, capabilities and tools will enable our growth ambition, reinforce our position as a connectivity partner and help move Bangladesh forward. This has been a key focus areas, not only this year, since several years. However, as I mentioned, this year, it's been digitalizing our customer journeys, focusing on building digital channels, driving volume there, at the same time, uplifting our technology capabilities internally to support this development while we see the customer behavior changing and then entire organization driving moderation through automation and digitalization. And that's how we see that we are preparing for the future when we see the change, digitalization and data regulations are happening. 
 Moving on the business environment, 2 topics. One, we see that 5G, the government of Bangladesh has been working towards the launch of 5G in the country. And having recently launched a consolidation process with the telecom industry, we have really submitted our feedback, and this consolidation process will continue. There is no specific any date for auction. And we as a telco operator in the industry, we don't see that 5G discussion is only confined within the auction rather it's the ecosystem buildup, and that's how the dialogue is going on. 
 The TowerCo area, we have entered partnership with 2 TowerCo vendors, through whom we have already developed and deployed over 1,200 sites this year. We are counting in the coming year as well, and we are continuing our discussion with other vendors as well as regulators into the new TowerCo region.
 Moving on to our commitment towards the society. How do we empower our society is that the basic thing in the past that at the end of the September 2021, Grameenphone is connecting a subscriber base of 83.6 million people, of whom 46.1 million customers access the Internet and 27.6 million are empowered with power of 4G and growing. 
 We have focused on COVID, relief in the strict lockdown in the third quarter resulted in many subscribers being unable to recharge and stay connected to those who matter the most to them. In an effort to ensure that connectivity remain uninterrupted, we provided free minutes and data to more than 11 million subscribers at 0 cost. At the same time, the way we -- the previous call, we joined hands with BRAC under the banner of Dakche Amar Desh, with the purpose of providing food assistance to the highly impacted population of our society. I'm pleased to report that we are able to provide support to over 83,000 families who were gravely affected by the pandemic. 
 While we're talking about our focus and to the social impact, one is like responding to the disaster. The other is responding towards COVID. As I mentioned, through this Dakche Amar Desh program, 83,000 families were supported. The other area which is beyond or relevant to COVID or not relevant to COVID, we do focus on youth digital and education. And on 15th of July, we jointly celebrated World Youth Skill Day with UNDP to raise nationwide awareness and support the upskill of our youth. Multiple online dialogues with youth and policymakers were organized to bridge the gap, focusing on the strategy importance of equipping our youth with relevant skills. We launched monthlong masterclass series, which will connect our youth to industry leaders and experts will guide them to relevant workforce capability developments. This will remain as a focus area, and we will build on what we have done in Q3. 
 With this, for the numbers and the financials, I welcome our CFO, Jens Becker to take us through, and I shall come back on the latter stage of the session. Jens? 
Jens Becker: All right. Thank you, Azman, and good evening to everybody. Let me start with a short overview of the key KPIs. 
 In Q3, Grameenphone has continued to deliver a solid financial performance with positive momentum in top line as well as in EBITDA despite the challenges of a strict lockdown that we saw from the 1st July till 10th of August. After this, the overall economy has gradually recovered from COVID-19 with average daily new cases declining to a level of around 1,000 with less than 5% infection rate by the end of September. Followed by the withdrawal of the lockdown, the economic activities gradually resumed while educational institutions have been reopening in limited scale from 12th of September after actually 18 months of closure. However, Grameenphone remained active in the market throughout the quarter with strong subscriber acquisition, new spectrum site rollout and customer-focused market activities. 
 In summary, Grameenphone had a plus 1.9% year-on-year growth in subs and traffic revenue and a plus 1.3% growth in EBITDA in Q3 while maintaining an EBITDA margin of 63.3%. 
 With the continued investment efforts backed by the newly acquired spectrum, GP's CapEx to sales ratio for the quarter stood at 10.4% on a 4-quarter moving average, which was 5.3% on a stand-alone basis. 
 EPS for the quarter stood at BDT 6.34 with a 3.8% degrowth from last year on a reported basis. The degrowth in EPS was contributed by one-off modernization cost in this quarter. 
 Now let me turn to more details on the subscriber base. We have continued our subscriber acquisition drive in the market, resulting into 1.6 million net adds in Q3, along with 2.4 million new data users. The sub base at the end of the quarter stood at 83.6 million, with a 7.7% growth from last year and 1.9% from previous quarter. 
 According to BTRC published information as of August, GP subscription market share increased to 46.6% from last quarter, which was 46.5%. Our data users for the quarter stood at 46.1 million, including 27.6 million 4G data users in Q3. With our superior 4G network experience, Grameenphone's 4G data user increased by 3.8 million from last quarter. 
 Coming to the revenue now. Despite having negative impact from the strict lockdown until 10th of August, means nearly half of the quarter, Grameenphone continued to deliver growth in its top line. Total revenue grew by 1.8% year-on-year to BDT 36.2 billion in Q3, fueled by a 1.9% growth of daily subscriber and traffic revenue. The increase of the subscription and traffic revenue was mainly driven by growth in voice data bundles and data-only packs. 
 Turn to the next page. In addition to the focus on data and voice-only packs, Grameenphone continued, as I mentioned, to promote its bundled services in Q3 to provide a better customer value along with enhanced experience. By launching attractive common bundled packs, along with the continued digital adoption efforts through both owned and third-party digital channels, bundle revenue grew by more than 10x compared to last year and 1.6x from last quarter. Excluding these bundles, data-only packs and pay-as-you-go revenue increased by 4.5% from last year. With this substantial growth in bundles, the overall subscription and traffic revenue grew by 0.6 billion, as I mentioned, 1.9% year-on-year. 
 Turning to the ARPU and usage. Grameenphone continued its value proposition through attractive market offers, supported by the superior network experience through a newly acquired spectrum and 4G network expansion. As a result, GP's average megabyte per user grew by 52.4% from last year and 9% from last quarter, standing at 3.9 gigabyte per user now. The overall service ARPU decreased by 5.9% from last year, mainly due to lower contribution from our voice segment due to the lockdown impacts, partly offset by the bundles. 
 Next page. OpEx for the quarter stood at 11 billion with a year-on-year plus 1.9% growth. This year-on-year growth in OpEx mainly driven by higher regulatory and energy cost. In terms of EBITDA, GP posted a year-on-year plus 1.3% growth with a stable margin of 63.3%. The growth in EBITDA was mainly driven by the higher revenue though. 
 On the next, turning to CapEx. GP have invested BDT 1.9 billion CapEx, excluding license and lease in Q3, focusing mainly on 4G network and coverage expansion. We rolled out more than 5,300 new sites and more than 1,500 new coverage sites in the last 12 months. At the end of Q3, the number of 4G sites reached 16,795. The 4G population coverage reached 96.8%, which is 0.5 percentage points increase from last quarter. 
 Turning to profit. GP's net profit for the quarter stood at BDT 8.6 billion with a 23.6% margin. On a reported basis, year-on-year net profit and EPS for the quarter decreased by 3.8%. The year-on-year decrease in net profit is driven by one-off modernization costs. However, excluding the one-off items in both periods, net profit would have grown by 1%. 
 Next page. In terms of operating cash flow, GP recorded a year-on-year BDT 1.6 billion growth contributed by BDT 0.3 billion higher EBITDA and BDT 1.3 billion lower CapEx. Net debt stood at BDT 10 billion as of Q3, in combination of BDT 13.9 billion liability and BDT 3.9 billion cash balance, excluding the restricted cash. 
 Next page. In terms of our contribution to the national exchequer, we spend at BDT 79.2 billion year-to-date, equaling around 74% of our revenues. 
 With this, I would like to hand back to Azman for wrapping up. 
Yasir Azman: Thank you, Jens. To recap, in the third quarter, our top line growth is being driven by the growth in users and usage, as we highlighted just a while back. Improving our customer experience as a result of network rollout and spectrum deployment will continue to remain key factors behind our growth momentum. And we will continue to pursue our journey in enabling our growth through modernization, evolving business models and competency development and as well as creating a partnership that will help us to cater to the constantly evolving connectivity needs for our customers. 
 With that, I'll hand back to Naureen for Q&A. 
Naureen Quayum: Thank you, Azman. Thank you, Jens. Let's start with the first question. I believe, Jens, this is for you. What is the onetime modernization cost? And what is the amount? 
Jens Becker: Yes. So let me -- maybe, as you recall, also from Azman's speech, modernization is one of our key pillars of our strategy, which we are pursuing since quite some time. 
 Now you also have heard that we have, in terms of -- for this quarter, went into improving our network capabilities, moving into new partnerships here. So this is -- has been a key milestone for us. And this is what the modernization costs referred to. So it's basically transition costs and restructuring costs that we have. 
 I think in the overall level, I think there was a question, too. What I saw here is about BDT 1.3 billion in the quarter as the one-off that we have. And as I mentioned, if you would take it out of this -- in both of the quarters and it's also the previous year-on-year quarter, it would lead to a net profit increase of around 1% year-on-year. . 
Naureen Quayum: Moving on, what are the major trends in customer behavior you've observed in Q3 as Bangladesh approaches a near-normal state amid the pandemic? Azman, maybe you can take this one? 
Yasir Azman: Yes, I can take it. When we see that Bangladesh is approaching towards new normal, as I mentioned, we are seeing that the voice minutes are coming back. It's increasing with increased mobility and the recovery in economy and partial opening of academic institutions and obviously, the data usage continues to grow. 
Naureen Quayum: Thank you, Azman bhai. We have a related question to the question Jens just answered. There's a one-off modernization cost and what is the amount. We've answered this. What productivity improvements do you expect from such expenditure? 
Jens Becker: Yes. As we -- going forward, I think it's here about the capabilities that we have encountered with this new. I think Azman answered this already in the speech getting in the details how we want to enhance customer experience going into the digital age that is necessary here. So this part is very much on the capabilities. 
 Of course, there's also a productivity increase. But for this, as you know, we're not allowed to give any forward-looking statements. But of course, we assume this as well. But the key driver here is capabilities and getting into the digitalization and get the right capabilities on the customer experiencing. 
Naureen Quayum: Jens, I have another one for you. What's the year-on-year voice growth in Q3? 
Jens Becker: Yes, that's a bit of a tricky question. As you can see, all our growth is basically now into bundles. Bundles means here, voice and data bundles. If you would look into voice stand-alone, that will be a 14% degrowth. But most of the -- as I said, it's a bit artificial on it because the growth is coming from the bundles where we don't actually separate it anymore. 
Naureen Quayum: Another question that I got over WhatsApp. This says, "In the quarter, despite lockdown, the subscriber net add trends for the quarter did not drop, but ARPU did. Does this just reflect the net addition scheme late in the quarter so that there will be a bit of a catch-up for revenue in quarter 4?" 
Jens Becker: Yes. But just... 
Yasir Azman: Yes. Go ahead. 
Jens Becker: Yes, because this is -- the ARPU is independent from the subscriber number, right? It's per subscriber. So the drop of ARPU that we have seen is basically driven by the voice drop that we see during the lockdown. Lockdown usually comes with lower minute usage. 
Naureen Quayum: Okay. I see a question from IDLC, which is, "What was the later price scenario last quarter?" Well, we consider this competitive information, and we would not like to share this. 
 We will just wait. Okay, I see another question. Do you plan to launch any digital products like your competition, Toffee TV by Banglalink. Azman, would you like to answer? Azman, are you here? 
Yasir Azman: I didn't get the question . 
Naureen Quayum: Is there any plan to launch any digital products like our competitors? 
Yasir Azman: We don't intend to bring in our own digital services. We have -- like a long term, we have a bioscope, which is also as it is like Toffee as mentioned here. Our model is to do partnership and bringing services to the customers the best possible on the market. 
Naureen Quayum: Thank you both. Let's just wait a minute more. Okay. I have another question. Is there any regulatory update, especially on the BTRC audit? Azman? 
Yasir Azman: We have recently seen some movement on the audit part, and that's basically not in relation to Grameenphone. That's related to the operator Banglalink, which was in the media as well, that BTRC earlier did audit for Grameenphone and Robi, now they started for Banglalink. We are also always in touch with BTRC and jointly, we would like to find out that whether there is a possibility that what we have earlier mentioned for an amicable mediation.
 However, as we understand the matter is at court and unless and until the court directs us for the mitigation recorded, it will not be possible and supported. 
Naureen Quayum: Okay. Let's wait a few more minutes for any more questions. Okay. I don't see any other questions. I think we've waited a while. I don't see any other questions. For those of you who are still online and if you have any further questions, feel free to reach out to me over e-mail or text. We'll get back to you. 
 Please note, we will be available all of next week in case you have to -- in case you would like to meet us for any further discussions. Thank you so much. Thank you, Azman bhai, Jens. Thank you, everyone. Have a great day. 
Jens Becker: Thank you. 
Yasir Azman: Thank you, Naureen.